Operator: Good morning, ladies and gentlemen, and welcome to the TUI AG Conference Call regarding the Q1 results for the financial year 2024. [Operator Instructions] Let me now turn the floor over to your host, Sebastian Ebel and Mathias Kiep.
Sebastian Ebel: Thank you. Good morning, and a very warm welcome from today's sunny Hannover. It will be a long day for us. We have our AGM today, and we are pleased to have the call with you after we had very early press calls in the morning. Like the quarters before, the agenda is set. I will do a short summary about the Q1 numbers and the strategic highlights. Mathias will go into the details of the Q1 results, and will give you a trading update and outlook, and then a short -- followed by a very short summary from my side. We had a good Q1, an excellent Q1 performance. For the first time, we achieved underlying EBIT -- positive underlying EBIT with a record revenue of EUR 4.3 million and the underlying EBIT up almost EUR 160 million compared to the same quarter last year. We do see a good booking momentum. Winter plus 8%, very, very strong the last day, so we assume that the winter will end strong. Summer plus 8% and both seasons with an average sales price increase of 4%. We do see strong customer demand for our products, so we are very confident about of the coming month. And based on that, we can reconfirm our guidance to increase EBIT by at least 25%, even in light of some additional costs due to the rerouting of our Cruise ships due to the incidents in Suez. And why -- can we report on that? We do see that the strategic initiatives are driving very much the transformation and the delivery of our transformation position as well for profitable growth. Every quarter, we do see a positive impact of what we are implementing. If we go into the details, Holiday Experiences up EUR 56 million compared to a strong previous quarter, EUR 91 million, and I think it's now the sixth or seventh consecutive quarter where we have seen improvements. We have increased the occupancy and the daily rate. Cruise is back to normal. You see an occupancy of 96%. So this compares with 100% at best times during the year. So we are very, very close to the historical heights, which we do expect for the coming month and quarters. So for the first time in the first quarter, positive again with EUR 34 million, and also TUI Musement is doing well. Experience up 16%, and there the profitability will come in the summer months and it was for us very important that we can increase our customer base, and therefore we are happy about the number of experience. So many of them are new customers to the TUI ecosystems. If you look at TUI Markets & Airlines, strong improvements by EUR 100 million, which means halving the losses and departed pax plus 6%. And what is very nice to see is that all the measures we have taken to increase the share of dynamic packaging is working well, plus 24%. And app side, although still absolute on low numbers, getting momentum, especially in the U.K. where we have seen a very big step forward, load factor plus 1%. If we look into the regions, we can see that the Northern Regions, so U.K., Ireland and the Nordic countries have improved the probability by EUR 70 million. Germany, or the Central Region, is at break-even. Western region slightly worse that is just an effect on valuation of maintenance reserves. Operationally, they have done very well like the other areas. So this is more a balance sheet P&L impact from evaluation. So, also a very good start into the season. If we look at some highlights of our progress of our strategic initiatives, one I mentioned, dynamic packaging doing very well. And it's not only that the numbers are increasing, but when we now see what we bring to the customer in the next month we do see that there can expect a significant growth there as well. But also on TUI Musement, we signed the agreement with easyJet to provide g Tours & Activities after bookings and others, a milestone for us. By the way, easyJet is also a very good partner for providing a seat only for us to dynamic packaging. So, very good collaboration. We re-launched the TUI Musement app. So, if you compare our app with the main competitors, you will see how big the progress is. We have made location-based service, a lot of third-party products, but that is a very strong focus for us on own-produced, high-margin product. So very, very well, very good development. On the hotel side, of course, we grow. We have in the pipeline more than 40 hotels. We started with our new brand, The Mora, our New Luxury hotel brand. The first opening we will see in the coming weeks on Zanzibar. By the way, Zanzibar getting more and more important like the cupboards to our system. And it's really a great achievement to see also TUI in this market segment. And one will stay and will even be accelerated is our way forward on sustainability. We are the pioneer in the tourism industry by measuring and mitigating our Tech Carbon Footprint. You know that we had agreed to the SBTi targets. We are well underway to achieve the given targets. Our internal targets are by far more ambitious. And this, for example, IT has been also recognized by independent organizations. So it's very important what we do there. We do see a positive impact on customer behavior. And of course, it's important for us as a company and for the world. That is a short update from my side and Mathias will go more into the details when it comes to numbers. Mathias?
Mathias Kiep: Thank you very much, Sebastian, and good morning, everyone. As Sebastian said, let me cover the details to the quarter. We also have today the AGM where shareholders will vote on the future listing structure. So I would like to use 1 or 2 sentences on that, recap on our refinancing strategy, and then let me just summarize bookings and how this quarter then puts ourselves into the outlook. So as Sebastian said, a very strong quarter, record revenue, record EBIT, and also the balance sheet net debt improved the same way versus last year. We had as of 13th of September. That's a really good achievement. This was also recognized by the rating agencies with a further upgrade now by Standard & Poor's from B to B+, with a positive outlook. That's another step in our journey to move back to the rating that is probably a good one for the company and the right one. We need to get back to BB territory, but it will be a journey and a stepwise development. As I said, today, shareholders will vote on the listing structure. But before I come to that, let me just go into the details of the quarter on the next couple of pages. I like this page because it shows what Sebastian described in detail on the operational result. And you can see the improvement actually comes from all segments. And as we expected and discussed in December, the biggest contributors with markets and with Cruises, both 1 from the ramp-up and 1 from a mixture of being hatched this quarter at the same time, also operational improvement. So really good in terms of development. If you look at the details of the P&L, I would say all-in-all, all within expectations, adjustments, effectively PPA left only, net interest expense, if you take the EUR 100 million times 4 then you're broadly at our outlook. Normally, Q2 has a higher interest cost, and Q3 is more or less in line with Q1. And then you go into a better cash position, particularly in the fourth quarter. So interest cost reduces. If you take this all together, that is a good confirmation of our guidance. And also on the tax rate, we don't see any further movements. In the cash flow, we are quite happy with that because the key driver for Q1, where we have our biggest seasonality, and we go into the winter volumes and the winter revenue level with the EUR 1.758 billion. That's more or less in line with what we saw last quarter. And if you compare that, we have had a much higher revenue in the summer, a much more higher revenue level in the late summer and autumn. And still the drop into the seasonality, the seasonal low in winter is more or less the same that we had 12 months ago. 2 reasons for that, 1, winter is developing stronger than last year and secondly, also the discipline on working capital and cash is continuing. So these 2 drive that we have a really good number there. The rest of the cash flow is in line. You see here a dividend to minorities. That's the funding structure of the new Riu joint venture. The respective investment will be in the second quarter. Then you will see the same position in cash net investments. If I go to the balance sheet, what I already said, the EUR 1.3 billion improvement that's really a good development. And also that we can reconfirm that we didn't draw a KfW. That was exactly the strategy and that was the big reason for the capital raise to get rid and not to use the government funding anymore. Now, before I end the quarter and put this into perspective with bookings and guidance, let me just give you some few -- further details on the potential vote, potential change of the listing structure. As I said, the vote will be today. I think it's fair that we've had that I've had very good discussions on that effectively good momentum in the discussions everyone really understanding or quite supportive, put volume in one place that was a comment that we always received, and also to de-complex structure, that's of course relief for the company, but that would also be something shareholders would go for. Again, the votes today, 75% majority of votes present required. And to be fair, that's probably also the key reason you have an AGM to have such decisions for shareholders. If shareholders were to go for this, then we would go for the full listing in April in Frankfurt, and after a certain period of trading in Frankfurt, we would then go into the MDAX probably in June and that would be the key next steps. One further comment in terms of financing strategy before I go to the bookings is on capital allocation. I mean, 1 key element is still the refinancing. I think step 1 was this quarter not to use KfW, so that's something we always planned and we fulfilled that. Now, the EUR 1 billion that we still have as unused facility, we will continue to work on the right instruments on the debt finance potential to refinance that. I think it's fair that the good thing is now with the December results, with the full year and with our outlook and also the further improvement on the rating quality, we are assessed in a fair view by the market. So I think we have a full set of options available to put the right debt instruments against the KfW going forward. With that, I would like to end the quarter and summarize what Sebastian already said on the bookings. Maybe Sebastian, 1 or 2 comments from your side, before I go to the details?
Sebastian Ebel: Good. Oh, no, sorry. Sorry, no, no. Just do it.
Mathias Kiep: Yes. I think, as Sebastian said, bookings are really, really good. And one thing which is prevailing is that whatever we look at in research, whatever we discuss and whoever we talk to, we always get the feedback, consumers rank and prioritize holidays very high. And it's fair. It's not the best consumer environment that we are in, but holidays, wherever you look, are prioritized and ranked really high. And all the stats that we have on our side, they are also confirming then whether it's savings or spent, saving to spend, but also our package holiday sites which were the most visited in Q1 in the U.K. and in Germany. Now, bookings, Sebastian said, plus 8% for the winter and plus 8% for the summer, both look healthy. I think we have a good momentum. The point is, of course, this is a bit lower than December, but this is what's expected because the comparable time last year in January was really, really strong. And, of course, then the advantage goes down a bit. But this is a 30% sold for the summer. That's a really good start into the summer. And the same accounts for the product businesses. I think that Sebastian, you always said, whenever the volume business is developing well, you see it even more in the product business and hotels, cruises, really with strong bookings ahead even more than we had the same period in last year. And Musement, we continue to see a nice take-up of this 30%, and that's also supporting this theme that priorities -- consumers prioritize holidays and leisure spending really high. What does it mean for our outlook? We have 2 key outlook themes, which is revenue and underlying EBIT. Revenue to plus 10%, first quarter was plus 15%. Now, the summer is plus 8% and pricing plus 4%. I think these elements support our revenue guidance very well. Underlying EBIT, again, if you do the mathematics, 25% of, broadly, EUR 1 billion of last year that gives you EUR 250 million, with the EUR 167 million, that's more than half of this. It's a big step. I think that, of course, as Sebastian said, supports very well our guidance. Important, we cannot expect the same magnitude in the second quarter. 2 major reasons for that, one, we had bigger FX volatility 12 months ago in the first quarter. Just maybe be reminded on the impact that the short-term government in the U.K. had on the British pound. And then, secondly, we also at that time still had our Canadian business, which was quite seasonal with a significant loss in the first quarter and a significant profit in the second quarter. And we would now in the second quarter work against this significant profit. So I think overall, our guidance can be confirmed. I will jump over to the next page, because we discussed all the details, the cornerstones, markets and cruise that will continue to deliver. At the same time, as Sebastian mentioned, there will be an impact from Suez, but it will not be in terms of changing the overall picture. I can also reconfirm our modeling guidance and that's something also discussed already when we went through the quarter numbers. With that, thank you very much from my side. I would hand over back to Sebastian for final comments.
Sebastian Ebel: Thank you, Mathias. As Mathias said, we are confident about the whole year despite the cost for the diversion of our cruise ships. What is more important is that the transformation moves on. We are putting a lot of effort to globalize TUI to bring more products to existing customers and getting new customers to accelerate the profitable growth, including improvement of profitability and margin. By having a strong focus on cash flow, we want to strengthen the balance sheet to lower the indebtedness. And this is a long-term strategy. It's not only about delivering the guidance, but also to bring TUI into a field where there is constant significant growth year-by-year to reduce leverage and, of course, to get as soon as possible now and improved rating. By doing that, we want to create additional shareholder value. We want to have a good employer to our people. We want to be a good partner of our destinations. By winning, we want to have a lot more fun than we may have had during Corona. Thank you.
Mathias Kiep: With that, we would turn back to the operator, and would be open for questions. Thank you very much.
Operator: [Operator Instructions] And the first question comes from Richard Clarke of Bernstein.
Richard Clarke: And 3 if I may. I guess, if you look at the 2 months we've had since the December release, the booking growth has been quite a lot slower than the 8%. So, how should we think about extrapolating through to the summer? What is your confidence that the summer in Markets & Airlines can be up 8% or is it sort of trending to slower than that? Second question, just dialing in specifically on the U.K., last year you talked about growing the airline capacity in the U.K. by 12%. At the moment, it looks like the summer bookings are growing at about 3%. So just understanding the bridge there, can you still fill that airline capacity? Do you need to put more flexibility in? And then third question, just on Musement, we hear a lot about sort of platforms for experiences being highly valued out there in the market. Maybe you just can provide a little bit of detail on Musement. What's the revenue split today between what's sold through TUI, what's sold through your B2B deals, and what's sold through Musement as a sort of standalone B2C entity? And whether there would ever be any appetite to try and monetize Musement as a partially or fully standalone entity?
Sebastian Ebel: Maybe, Mathias, you can answer the financial questions. Coming to the capacity in the U.K. market, yes, we have increased our fleet, but we have significantly increased our third-party business. So that gives us a lot of flexibility when it comes to having the right capacity. And we do see that the numbers of today, we are able to fill well our aircrafts. On the platform, on the Musement part, you're right. The focus is very much now also growing the B2C business through Musement or through the TUI brands, besides building more and more partnerships of B2B. So the impact of the third-party business or the -- or the business of going direct to the customer will increase further. What is important for us, that the new customers we are gaining, we make them to TUI customers. And that's why we have put such an effort in building the TUI ecosystem to make sure that the customer we gain directly from Musement, we bring into the TUI ecosystem, we bring the customer onto the app to make sure that we sell the customer other products we have. And you're right. Probably, if I look at the valuation of TUI, if I compare that with valuation of other activity platforms, we probably could have a different approach when it comes to the valuation of Musement. The strategy is a little bit different to the get your guides to the Klooks and Viators and so on. We need to be profitable and to increase the profit. We can put some part of the profitability in growth, but our main focus is in getting customers -- getting profitable customers. And if they are not profitable in the first instance, to make the customer profitable by selling other TUI products. And therefore, the value of Musement is very big to us. It differentiates the product. We gain a lot of new customers to the system. And second, as I said, it makes the difference to our customers in the destination. And it's, by the way, a great platform for going now into other countries. As I said, we want to globalize TUI. In a lot of regions, TUI Musement is there and we can build the platform business on what they have in this country.
Mathias Kiep: Thank you, Sebastian. And then just to add on the U.K. booking development, I think, 1, if you look at their summer stats, their percentage sold against last year is in line with last year. So, with the bigger program, they are sold at the same level. So, at the same time, we compare currently against a very strong period from this, you could say, the second week of January until now that we had and a bit further that we had last year. So, naturally, the comparable is stronger and you then also go down. I think important is that we grow our, let's say, the committed capacity for the U.K. This is where the focus is and dynamic that we grab every profit and contribution margin that is available. So, you will probably also see some ups and downs in the kind of percentage that we sell. At the same time, I think with the 40%, that's the key target where we want to be at this position at this time of the year. And on Musement, I would say just to add from the numbers, I mean, we disclosed total revenue and revenue. So, you can see how much is internal and external. At the same time, if we look at the stats that we focus on, I mean, primarily, this is 2 things. One is how much is the uptake with the TUI guests. This is where the profitability lies today. And as Sebastian said, the second point is how much can be then over time accelerate external sales, external bookings, and some of this will then over time also convert into TUI customers. That's the idea that I think for today, the focus is more on making sure profitability goes up a bit. At the same time, making sure we have the ingredients to deliver that growth.
Operator: The next question comes from James Clark Rowland, Barclays.
James Clark: My first is just on hotels pricing. There seems to have been quite a significant development in hotels from when you provided the H1 trading update in December to today. So, I think you were talking about H1 being up 5% in daily rates. And now, you've got Q2 that you're guiding to about 13% up in daily rates, then you're going to about 12% up in H2. So, clearly, there's a lot of pricing growth there. This would seem that it's a bit in excess of RevPAR growth in the region. So, I just wondered what was driving that. And then secondly, apologies if you've answered this one already, but are you able to provide any guidance on the cruise cost of rerouting away from the Suez Canal around the Cape of Good Hope?
Sebastian Ebel: Good. You're right. The demand for hotels is very strong. And you could ask why is that the case when the markets in general are maybe see a small growth but not a big growth. It's because for 2 factors. One, there are more and more source markets booking into our hotels. So, we do see customers which we haven't seen before, Americans for the Canary Islands, Americans for the Balearic Islands, Southern Americans for Cape Verde. So, they benefit very much from the increase in travel. Therefore, the demand is strong and prices are very dynamic, especially when it comes to direct bookings. They have seen very strong pricing. So, the late business is overwhelmingly strong. Is that something we can expect for the near-term future? Most likely. If it's for eternity, you have seen ups and downs also in the hotel business. But we do see that there is for a time period an undersupply of the hotel side. So, a very solid business. And for us, it's now the effort to go more and more direct through our own platform also to avoid high distribution cost into different markets and to balance it out. But also, the tour operator keeps their USP by selling our own hotels. When it comes to the guidance on cruises, on the Suez Coast, one, first the question, will it impact all returning ships until end of April or only some of them? That is not foreseen. That is not that we don't know yet. If all ships would need to go through the Cape of Good Hope, we still keep the guidance. It is a lower 2-digit million number.
James Clark: Sorry, can I just double-check that final comment? It's a lower 2-digit, a double-digit impact on EBIT?
Sebastian Ebel: Yes. It's not EUR 50 million and maybe it's not EUR 30 million.
Operator: The next question comes from Leo Carrington, Citi.
Leo Carrington: If I might ask a couple of follow-ups. Firstly, on the volumes of bookings, do you see the current levels as a reasonable landing point for summer 2024 compared to last year? And then if we could just dig into more of the geopolitics referenced in the outlook statement, aside from the cruise costs, how do you see this affecting your business more broadly? And then lastly, in terms of the EBIT performance within Markets & Airlines, that block in the bridge, what extent are the slightly better volumes and mix driving the better profit versus the cost base and the hedging?
Sebastian Ebel: Okay. Hedging is also part of the cost base. So, therefore, the dominant part is operational improvement, but also a significant hedging impact. The geopolitical effects we, of course, do see and, therefore, the 6% growth or the 9%-10% growth in winter is an outstanding number, because that apparently means that we do well in the markets we are in also compared to our competitors. Is it 6%? Is it 7%? Is it 5%? It's not so much important as we are very variable on the volumes and, therefore, we feel very confident. It would be wrong to expect that there will be tailwind for us. Therefore, it's even more important that we do well against our competitors. And there are markets which are easier than others. And, of course, it's important that we grow also the markets we are in. We are now new markets or relative new markets like Poland are doing outstandingly well. We have now entered the Czech market. We are growing the Spanish, the Portuguese market. We will go into Italy this year and then the Americas, North and South America will follow all based on almost the same cost basis. So, we're not going to build up big organizations anymore. We take what we have and go into the market into a very small overhead base, 10-20 people and nothing more. And, therefore, we are balancing out if a market is weaker for what reasons as ever or we benefit from markets which are very strong.
Mathias Kiep: And then maybe just on the bookings, I think the target is to move towards 2019 volumes. I think we were 93% of '19 in '23. So, if you add the current momentum that brings you there, I think Sebastian just said it. It's not a straightforward market. At the same time, there's an underlying and strong continuously kind of solid -- in the end, it's a solid kind of demand for our products. And, I mean, of course, if there's more opportunity, we will take them. At the same time, I think it's important that we don't oversee in risk capacity. I think that's exactly then how the model will work also in the future. And on the EBIT mix, if you think about this strong increase of around EUR 100 million, you could say more than half of this is coming from a cost base, which is now fixed. I think, as you said, Sebastian, hedging is also cost based, because if you have an open cost base and a sold price or a market price, then you have a negative impact on your P&L. And this year, we didn't have this negative P&L. So, it's pure contribution margin without kind of volatility in the underlying cost base from FX and fuel.
Sebastian Ebel: I think what is important for us are 2 things. One, that the traditional wholesale market, we do as good as we can and there's a lot of things we can even do better. And second, that we grow on the dynamic part or the bet only, flight only, activity only, risk-free model. And I would say today, we have implemented 20% of what we want to implement in the next 2 years. And therefore, it's great to see the increase of dynamic package. But of course, there's by far more to come. We haven't. We are just starting to implement direct access to the hotel, tenant managers or to the property system. We now have the first hotel, big hotel range with access to the property management system and that is very new. And it's the same on the airline side. Yes, we get a lot of content through Amadeus Lite or Consolidators. But we are more and more going direct to the inventory of airlines. And this both should fuel our sales in dynamic package but should also make us by far more successful in our sales in bet only or flight only or in activities only.
Operator: The next question comes from Jaina Mistry,  Jefferies.
Jaina Mistry: I've got 2. Number 1 is, and apologies if I missed this earlier, but can you quantify the hedging benefit that you saw in Q1? And then secondly, I just wanted to talk a bit more about pricing. You're talking about summer '24 pricing being about 4%. I just wanted to understand the moving parts and what would drive a number that would be north of 4%, in your opinion, and how likely this could be? And I also wanted to check, do you have a sense of how your pricing for summer '24 compares versus the market? And then just lastly, I wanted to see how the view on how American flows into Europe looks for summer as well?
Sebastian Ebel: Before Mathias goes to the details, we don't have a hedging benefit. We have normalizing of our hedging activities. So I think that's very important to mention. It's not that we have a one-time benefit. It's just that we have now, through the normalization of the hedging we could do, we have normalized hedging result. And this is important. Summer prices, maybe, I think we are not a tour operator company or a hotel company. We are both. And therefore, the pricing, the focus on market airlines is one thing. We should also see it in light with all the pricing of our activities. And you have heard our answer to the question of hotel prices. They are going up significantly. If you look at cruises, they go up significantly. So this is the other side of the model. If you look at summer prices, the question is probably behind how much comes from competition and how much comes from other effects. What we do see is that customer behavior is slightly changing to shorter durations. So if we have a 4% increase, apple-to-apple is significant higher. So we are not unhappy with the pricing increases. But we also have seen that inflation on fuel, for example, we have very stable around $800 per metric ton, a lot of now are fixed costs. So the 4% covers our inflation. And it should be even more to improve the margin when we look at average length of stay.
Mathias Kiep: And I think then the only open question is about what is the quantification of the hedging benefit. And as Sebastian said, it's to have a stable cost base rather than a volatile exposed to FX and fuel pricing. And as I think I just said, we have EUR 100 million of benefit quarter by quarter in Markets & Airlines. And you could say more than half of this is coming from having a stable cost base and reliable pricing in Markets & Airlines.
Jaina Mistry: And then just your view on American and tourists coming into Europe this summer.
Sebastian Ebel: We are not only looking -- yes, I fully understand the question. It's not only America. There is a lot of customers who come from the Middle East, a lot of customers now coming back from Far East. So what I would estimate is that in leisure areas, a region and that's very different to cities. Cities, the impact or the amount of foreigners or outside Europeans, including U.K., is significantly higher. But what we do see is that in leisure destinations, packaged leisure destinations, the share can be 5%, 10% when it comes to the destinations like Pisa, Florence, which are not fun and beach destinations, but leisure destinations and can go up to 30% and slightly above even in pure cities like Paris or like London. And this is a very significant growing market.
Operator: The next question comes from Mark Fortescue, Stifel.
Mark Irvine-Fortescue: I think you've answered some of this, but it was just a general question on the competitive environment, which it seems like things are evolving a bit more now than it has for a while with Ryanair flip-flopping over access to OTAs, easyJet pushing hard into holidays. So the question is just whether you're seeing any changes either on the flight side? Are you more or less open to giving OTAs access to seats? And then the hotels part, just whether there's any signs of increasing competition for access to non-TUI inventory? Just some general questions around that competitive environment.
Sebastian Ebel: I think the answer for hotels is easier because as the demand is growing and apparently also for a longer time bigger than the supply growth, it will be more a seller market. And therefore you do see the significant increases in ADRs mainly benefiting the bigger hotel chains, the hotel chains in the 4 and 5 star segment. It's more and more the winner-takes-it-all situation, especially big hotel companies like us we can afford in investing into direct sales, investing into app sales and bringing the customer into the TUI or the Riu ecosystem. A little bit more difficult to answer the question on top rating and including airlines. If the thesis that, as I said, that there is less tailwind than headwind is right, the question is who will be the winner? And in today's world, I would assume that the big brands who do a great job will be more and more the winners. And it's our approach to get direct access to the content of all partners, if they are airlines or hotels or activity provider. And by doing that to create the best package we can create and therefore also the service part is so important that we score very high on the NPS and customer satisfaction. So on one hand we want to be a great partner to airlines and you know that we do a lot of business nowadays with easyJet and others like SunExpress and others, but also they do business with us. And so it's in our mutual interest to grow the business and for big brands, I think like airlines have Ryanair, easyJet or on the Tupperware side like TUI, we will benefit from some market consolidation even if it's not consolidation by buying something. But the investment into customer and acquisition to keep the customer is significantly and it should be, if you have a great product, if you have the right service, it should be easier for very strong brands. And therefore we very much focus on branding, if you would see us here or you would see us at the AGM, we wear a TUI hoodie. So the impact of branding is we have never used as good as we could do now and that has changed a lot. And last point is we very much believe in global platforms, I mean, the best example like Booking, they built a global platform. We in the past had a U.K. platform, a German platform, a Dutch platform. Now by bringing more and more onto a global platform, global platform to buy products, global platform to sell products, we are able to roll it out. As I said, we have now rolled out the business to Czechs, to Spain, to Portugal, Italy is following and then the next steps will be outside of Europe. TUI will become a global company. Is it easy? No, it means a lot of hard work. Is it for free? No, it is. But the reward is huge, and I think besides our great people, the brand is the biggest asset we have. You may hear some enthusiasm.
Operator: The next question comes from Andre Juillard, Deutsche Bank.
Andre Juillard: Congratulations on these strong results. Most of my questions were already answered, but I wanted to come back on the main big issue, which is the geopolitical situation and the consequences it could have on your business. Could you give us some more color about your fears and opportunity in terms of destinations, allocation and what could be the consequences of the evolution of the situation in the Middle East, in Ukraine and so on? And second question about inflation. You gave us some more color about the top line but in terms of cost, even if you're saying that you're hedged and covering your cost, do you still have some problems to find some labor and do you see any issues on that side?
Sebastian Ebel: As what we do see today is not new, we anticipated that there might be significantly changes and that we took into account when we defined our strategy. For hotel, it's pretty easy because what you try and what we are doing is to enlarge our customer base by going into more and more different markets. So it's quite interesting. When I had the discussion with Riu they said, 5 years ago, we had a hotel for Germans and we had a hotel for U.K. in the Caribbean. Today, we have an international hotel, where you still have a significant number of Germans, but you also have a significant number of U.K. people and you have an even bigger number of Canadians and Americans. So it was so important that we broaden our distribution funnel. When it comes to offers to our customers from our core market, it has been very important to secure a lot of capacity in market which seems to be more Western orientated like Spain, which was difficult, because Spain is sold out in a way. That's why the increase of our hotel rates is so strong. But we said, we are now moving more into still small volumes, and to Portugal, where we never had been strong. But what was even more important, we became the number one player for Cape Verde, which is a great destination especially in winter when the weather is even better than on the Canary Islands. We bring now hundreds of thousands of customers into Cape Verde, and we are growing our base there. So the broad range is so important, and of course it's very difficult to anticipate how tomorrow will be. As I said, Spain and a lot of areas is sold out. Canary's are sold out. We had the weaker demand for Egypt. Egypt has bounced back strongly. Turkey was slower. I'm not so sure, if we will not see the same rebounds of Turkey as other markets get full. So we have looked and how -- the Dominican Republic. So it's really important that we have a broad range of own capacity of third-party capacity that we don't have to steer the customer maybe by lowering the price you go now to Turkey. But if the customer wants to go to Turkey, we have enough space. If for what reason he is prepared to pay more for Spain, we still have bets in Spain. And last comment. As the economic situation in Europe is as it is with countries which do better than others, we need to also to broaden there our range. But also to develop new destinations is so important that, if there is some market weakness in one market, we have other markets who can grow. And all-in-all, it's important that we grow the number of markets and that we grow our competitiveness in the market, so that we do better than the market developed. It's very difficult to influence that more Nordic people are traveling what we can influence, if they have the right offer and therefore our market share is growing. And the Nordics, so Scandinavia and Finland are a good example, a market which has been very, very difficult. It's now coming slightly back. It's mostly on dynamic. It's a lot of own products they want to have. And we lost a lot of market share 5 years ago. Now, we are gaining market share because we have done our homework and we want to participate and over participate on the growth we see in the market.
Operator: So at the moment, there are no further questions. [Operator Instructions] So there are no further questions. I'd like to hand it back to you, Mr. Ebel, Mr. Kiep.
Sebastian Ebel: Thank you very much. So we are very happy about the start of the year. We are confident about the remaining month. And of course, you can lose the business in winter and you win the business in summer. And we haven't won the summer yet, but we are confident. We have a very clear plan how we want to grow the company. We are delivering on this plan. And what is even more important, we have great partners in the world. We have a great team in the company. And we are really up to win in the market to, as I said, to present a different and better, not only different, but by far better TUI in a year than you have seen today, which is a better TUI than you have seen a year or 2 years ago.